Unidentified Company Representative: If I may, I would like to start TDK. So the financial performance briefing for the first quarter, the fiscal year March '23. We have Tetsuji Yamanishi, Executive Vice President; and Fumio Sashida, Executive Officer; and Taro Ikushima, Executive Officer; and Takao Tsutsui, Executive Officer. They are the participants and for this briefing session. Thank you.
Tetsuji Yamanishi: This is Yamanishi speaking. We are so pleased to have so many of you, to have so many of you today despite your business schedule to attend our performance briefing for the first quarter fiscal year March 2023. Now allow me to explain the consolidated results. First, key points. In the first quarter, due to the resurgence in COVID-19, China had a large-scale lockdown with its zero-corona policy. Chinese economy had a major impact, slowing down its production, social as well as economic activities. Also Russia invaded Ukraine, resulted in the great impact on the world economy with the heightened geopolitical risks. The supply chain in materials procurement continue to be restricted and the demand for electronics declined. Despite the challenges, we were faced with TDK and each business carried out its own initiative to expand the base of customers and applications. On top of it, the Japanese yen depreciated, also I believe, with these factors in place. Net sales became the largest on a quarterly basis, up 21.5% year-on-year and operating profit went up 42.4% year-on-year. In the automotive market, while our supply chain constraints continued, including semiconductor supply in shortage and the automobile production volume remained at a level lower than the previous year. Components demand remained firm, thanks to the increase in xEV ratio. Sales of passive components and sensors increased. In the ICT market, demand for laptop, computers and tablets, which had been on firm during the COVID-19 pandemic started to decline and demand for smartphones declined sharply, mainly in China region, resulting into a decline in the sales of rechargeable batteries. While demand for servers for data centers remained firm, but the demand for personal computers declined sharply, pushing down the level of shipment of HDDs, lower than the previous year. All in all, the revenue of HDD head and Suspension declined greatly. With the heightened geopolitical risk, energy supply concerns and soaring energy prices are affecting us globally. And with the rapid expansion and the demand for the storage systems, mid-sized rechargeable batteries and sales are expanding. I just say, uncertainties in the world economy becoming stronger. Though the demand varies depending upon the components in question, thanks to the expanded business foundations, net sales and operating profit continued to be firm. Next the highlights of the financial performance. Due to the effects to the U.S. dollar, net sales was up about JPY63.7 billion. Operating profit up about JPY12.6 billion. Net sales was JPY510.5 billion, up JPY90.4 billion or up 21.5% year-on-year. Operating profit was JPY44.6 billion, up JPY13.3 billion or 42.4% year-on-year. Profit before tax was JPY43.9 billion. Net profit was JPY31.4 billion and earnings per share was JPY82.87. As for the FX sensitivity, was the rapid depreciation of the Japanese yen and euro to the U.S. dollar. With the JPY1 fluctuation, its impact on operating profit between the yen and the dollar was about JPY1.6 billion for the full year and about JPY600 million for the full year between the yen and the Euro. The FX sensitivity has increased from the past. Next I will explain the first quarter results by segment. As of the current fiscal year, we have some changes in the combination of products and segments due to the changes in the organization. We have changed the numbers of the previous year based upon the new segmentation. As for the passive components, due to the change in some products belonging to others, it increased JPY600 million in the previous year's revenue and decreased JPY100 million in operating profit. Passive COMPONENTS net sales was JPY141.6 billion, up 16.3% year-on-year. Automotive parts demand continued to be firm, demand for industrial equipment was firm, particularly for renewable energy as well as production facilities. As for ICT market, which the declined demand for the smartphones, high-frequency components with a higher sales ratio with smartphones declined in real terms, both in revenue and the profit -- operating profit, excluding FX impact. But automotive and industrial equipment business grew both in sales and profit. We are happy to have these results. Next Sensor Application Product segment. Here just like the passive components, we have changed the last year's actuals based upon the changes incorporated in the new segmentation. Due to the change in some products belonging to others, though there is no change in the sales, but operating profit declined by JPY1.2 billion for the previous year. Net sales was JPY39 billion, up greatly 45.4% year-on-year. Operating profit, thanks to the increased sales, improved greatly becoming JPY2.8 billion. We are able to scale profit getting away from the loss we had in the previous year. The Russian and Ukrainian issue is suppressing supply chain for automotive competitors, particularly the demand for the auto in Europe was affected. Temperature and pressure sensors, excluding FX impact and had declined both in the sales and the profit. But Magnetic and the MEMS sensors, we enjoyed an expansion in sales for ICT market, contributing greatly to the improved revenue and becoming profitable. Next Magnetic Application Products segment. Net income was JPY55.1 billion, down 9.1% year-on-year. Operating profit became negative JPY700 million. HDD Head, Nearline HDD demand for data centers grew firmly, but demand for HDD for personal computers declined drastically pushing down the sales volume about 20% less than the forecast we had in the beginning of the year. We had a big decline both in revenue and profit. As for HDD suspension, due to the decline in volume in suspension application products, both revenue and the profit declined. As for suspension, the overall volume declined due to the less demand for personal computers. But thanks to the increased ratio of micro DSA-type in the Nearline HDD high values, pushing up revenue, resulting in the growth in revenue and the profit for the entire Suspension segment. Magnet driven by the increased sales of xEV grew in revenue and the loss has become smaller. Next as for Energy Application Products, net sales was JPY260.1 billion and operating profit was JPY27.3 billion, up 30.3% and 16.9%, respectively, year-on-year. As for rechargeable batteries, well, the sales volume of mobile application products such as smartphones, tablets and laptop, personal computers declined. We are now expanding business for power cell products for home storage systems and others are expanding. Also with surcharge advancing together with the FX impact, we secured growth both in revenue and profit. Sales and profit from the power supplies and for industrial equipment increased year-on-year due to the strong corporate CapEx demand.
Unidentified Company Representative: I will now explain the factors behind the change in the net sales and operating income by segment from the Q4 of the previous fiscal year to Q1 of the current fiscal year. In the Passive Components segment, sales increased by JPY800 million and operating income decreased by JPY100 million in the first quarter due to the recombination because of reorganization. All in all, sales increased by JPY13.6 billion or 10.6% from the Q4, and operating income increased by JPY7.7 billion or about 46%, excluding JPY2.1 billion in onetime expenses incurred in Q4. Sales increased in all markets, including the automotive, ICT and industrial equipment markets as well as to distributors, resulting in higher sales and operating income in all businesses. So -- and both of the sales and operating income was favorable. In Sensor Application products, there was no change in sales in Q4 due to the reorganization, but the operating income decreased by JPY900 million due to the recombination. All in all, sales increased by JPY3.9 billion or 11.1% and operating income increased by JPY2 billion, excluding the JPY2 billion and the onetime expense incurred in the Q4. The sales and profits of the temperature and pressure sensors declined in real times excluding foreign exchange effects due to the supply chain restrictions on automotive parts, but sales and profits of magnetic sensors increased due to steady sales for automotive and the smartphone applications. In MEMS sensors, while the sales of motion sensors for smartphones in China declined, but sales increased for the game console and VR, and operating income also improved. Next the Magnetic Application products segments. Sales declined by 5.7% to JPY3.3 billion, while operating income increased by JPY600 million, excluding JPY2.9 billion in onetime expenses incurred ended Q4. Sales declined sharply due to a 23% drop in HDD Head sales volume from the Q4 and the decline in HDD Assembly sales. Sales of HDD Suspensions also declined due to lower sales volume of suspensions for PCs. Sales of magnets increased slightly. Operating income of HDD Head decreased due to a decline in volume, while magnets improved net sales despite an operating loss due to an increase in sales to the automobile industry. Next Energy Application Products segment. Sales declined by 5.1% or JPY14 billion, while operating income increased by 3.2% or JPY800 million. Sales of rechargeable batteries declined due to a large decrease in the sales volume for ICT applications, while operating income remained almost flat due to cost improvements, including SG&A expenses in addition to surcharge to absorb the impact of the price hikes. And the sales of industrial power supplies remained almost flat. Next let me talk about the analysis of the changes in operating income of JPY13.3 billion. Excluding the JPY12.6 billion increase due to yen depreciation and exchange rate fluctuations, the increase in operating income was JPY700 million. Although the decline in HDD Head sales volume had a large impact, the increase in sensor volume and the surcharge effects of rechargeable batteries contributed JPY4.2 billion to the overall increase in operating income. And while the negative impact by price discount was limited to JPY600 million and the [indiscernible] and the material price hike, the total effect of streamlining the cost reduction and the effective structural reform implemented in Q4 of the previous fiscal year was JPY4.2 billion increase. SG&A expenditure increased by JPY7.1 billion, but approximately JPY4.1 billion was due to license fees for CATL, which was not recognized in the Q1 of the previous year. And the other increase was mainly due to the impact of higher transportation cost. Next I would like to give you an idea of the increase and decrease in sales from the first quarter to the second quarter of this fiscal year. As for sales to the automobile market, demand for components is expected to remain strong based on the assumption that automobile production volume will increase in Q2 as the impact of the China lockdown in the Q1 eases. In the ICT market, demand for PCs and tablet is expected to remain sluggish. And while smartphone production in China is expected to remain far below the level assumed at the beginning of the period, but still, on the other hand, smartphone production is expected to increase from Q1 as new products are launched by a major customer. So that's why we expect the sales to increase in the ICT market. Demand from the industrial equipment market is also expected to remain strong and steady. Based on these demand trends in the major markets, we expect overall passive component sales to increase between plus/minus 0% to the 3%. Sales to the automotive market and the smartphones are expected to increase, while service to industrial equipment are expected to remain almost flat and the sales to distributors are expected to decrease. Excluding foreign exchange effects, we expect sales to increase by approximately about 5% to 8%. Sales of sensor application products are expected to increase by 3% to 6% as sales of magnetic sensors for smartphones are expected to increase significantly due to the launch of new products from our major customers. Excluding foreign exchange effects, we expect an 11% to 14% increase. In the area of Magnetic Application products, while the demand for HDD Heads for PCs will remain sluggish. But on the other hand, the shipments of main models of the Nearline HDDs for data centers will be in full swing and are expected to increase significantly from Q1. We also expect the sales of magnets to increase by 12% to 15% due to higher demand from the automobile industry. Excluding foreign exchange effects, we expect the 21% to 24% increase. In Energy Application Products, we expect a 13% to 16% increase in sales due partly to the launch of the new smartphone products as well as an increase in the demand for ESS and e-bikes. Excluding foreign exchange effects, we expect an increase of 20% to 23%. Based on all these, we expect overall Q2 sales to increase plus 8% to 11% from Q1 and the 15% to 18% increase, excluding the impact of foreign exchange rates. Lastly, let me explain our full year consolidated earnings forecast, which remains unchanged from our previous full year forecast announced in May. In the first quarter, although demand in the ICT market was lower than expected at the beginning of the period and the sales of related products declined, but increase of sales of high value-added products and passive components and sensors boosted earnings. While raw material prices remained at the level expected at the beginning of the period and surcharges advanced. In addition, as a result of the cost reduction measures, including SG&A expenses, we exceeded our initial forecast, excluding the impact of the yen's depreciation. As explained earlier, demand trends in the Q2 are expected to increase in the automobile and smartphone markets, and both sales and operating income are expected to be in line with the level assumed at the beginning of the fiscal year. However, due to the uncertainties and, for example, the demand trends in the major markets toward the end of the fiscal year, a normalization of supply chain, raw material price trends and exchange rate trends. They are all uncertain. So we maintain our initial forecast, including assumed exchange rates. Capital expenditure, depreciation and R&D expenses all remain unchanged. That's all for me now. Thank you very much. Thank you.
End of Q&A: